Operator: Good afternoon and thank you for attending today's Knowles Second Quarter 2023 Earnings Conference Call. My name is Kayla Baker, and I will be your conference operator today. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] I will now pass the conference over to your host, Patton Hofer, Vice President of Investor Relations with Knowles. Thank you and you may proceed.
Patton Hofer: Thanks, Kayla, and welcome to our Q2 2023 earnings call. I'm Patton Hofer, Vice President of Investor Relations, and presenting with me on the call today are Jeffrey Niew, our President and CEO; and John Anderson, our Senior Vice President and CFO. Our call today will include remarks about future expectations, plans and prospects for Knowles, which constitute forward-looking statements for purposes of the Safe Harbor provisions under applicable federal securities laws. Forward-looking statements in this call will include comments about demand for company products, anticipated trends in company sales, expenses and profits involve a number of risks and uncertainties that could cause actual results to differ materially from current expectations. The company urges investors to review the risks and uncertainties in the company's SEC filings, including, but not limited to, the Annual Report on Form 10-K for the fiscal year ended December 31, 2022, periodic reports filed from time to time with the SEC and the risks and uncertainties identified in today's earnings release. All forward-looking statements are made as of the date of this call, and Knowles disclaims any duty to update such statements, except as required by law. In addition, in pursuant to Reg G, any non-GAAP financial measures referenced during today's conference call can be found in our press release posted on our website at knowles.com, and in our current report on Form 8-K filed today with the SEC, including a reconciliation to the most directly comparable GAAP measure. All financial references on this call will be on a non-GAAP continuing operations basis unless otherwise indicated. Also, we've made selected financial information available on webcast slides, which can be found on the Investor Relations section of our website. With that, let me turn the call over to Jeff, who will provide some details on our results. Jeff?
Jeffrey Niew: Thanks, Patton, and thanks to all of you for joining us today. Knowles delivered solid results for the second quarter with revenues of $173 million, adjusted EBIT margins of 16% and EPS of $0.23, all finishing above the midpoint of our guidance range. Gross margins of 42% finished above the high end of the guided range and our teams around the globe continue to improve efficiency, reduce fixed costs and improve mix in light of the macro challenges in certain end markets. In Precision Devices, Q2 revenue was down 20% from the prior year. Given inventory challenges in the industrial distribution and telecom markets have continued as we have experienced further revenue weakness in Q2. Defense was found versus the prior year and delays in project awards impacted due to bookings and revenue. Finally, the Electric Vehicle market remains exciting for Knowles growing again in Q2 versus the prior year as we continue to secure additional design wins for onboard and fixed infrastructure charging. In MedTech & Specialty Audio, revenue was down 2% from the prior year, but up more than 30% sequentially as customer inventory levels declined faster than we originally anticipated. We are definitely past the inventory correction we experienced in the first quarter of 2023. I'd also like to take a moment to commend our MSA team as they delivered outstanding margins in the quarter, a true testament to our differentiated products and operational excellence in our factories. In Consumer MEMS microphones, revenue is down 3% from last year, non-mobile was up versus the prior year, driven by new product launches and improved demand in VO in IoT. Computing was also a price spot in the quarter, finishing better than expected as channel inventory sell-through has improved and upgrade cycles are returning earlier than previously expected. Both smartphone market continues to be very difficult, especially in China, the shift of mix for gear IoT and compute is positively impacting gross margins in this segment. Now I'll spend a few minutes discussing the current customer and market conditions for each segment before turning the call over to John to provide the third quarter guidance. Starting with Precision Device segment. In the industrial and telecom markets, which currently make up approximately 10% of total company revenue, we are seeing continued weakness and inventory levels remain elevated. We previously expected the inventory situation to improve in the second half. But based on the current outlook, we now expect these markets to be down in the remainder of the year. For our three key end markets, defense, MedTech and the EV, the long-term outlook is unchanged from our previous expectations. Knowles continues to expand its design wins in these growth markets with a broad range of customers. Demand for components in the MedTech space has been relatively flat in the first half of the year with some excess inventory. And based on current demand, we expect to return to year-over-year growth starting in Q3. For Defense, our previous revenue projections for the year factored a number of bookings in Q2 for communications, radar and electronic warfare programs, which have been delayed. While we believe our position in our core markets for PD, along with the secular trend, within these markets are unchanged, continued weakness in industrial and in delayed bookings in defense are reducing our expectations for revenue in the second half of 2023.  To mitigate the impact of these delays, we have implemented several measures to reduce costs in Precision Devices to improve profitability. John will provide more detail on these actions for his portion of the call. Moving to MedTech and specialty audio, the Hearing Health market demand has stabilized as hearing inventories around the globe have returned to more normal levels. Our Q3 guidance reflects a more than 20% revenue growth versus the prior year, driven by the improved inventory situation and increases in demand in the traditional hearing aid market, particularly in the US is a very positive sign that we are returning to growth in the second half of 2023, which provides confidence for growth in 2024. Lastly, on to our consumer MEMS microphone segment. Due to the normal seasonality of this business and improving market conditions in non-mobile, we are expecting sequential improvement for revenue throughout the remainder of the year. The second half recovery is now expected to be less pronounced than we previously discussed driven primarily by the smartphone market. In non-mobile applications, second half demand in computing and Hearing Health are expected to be up significantly versus the prior year driven by improved channel inventory levels and replacement cycles in computing. In the smartphone market, demand expectations for new products and further weakness in China are driving additional pressure on the recovery in this business, ultimately limiting the upside in the back half of 2023 for CMS. Overall, for Knowles, although the outlook for improvement in revenue in the second half have softened, we are still expecting margin expansion and earnings growth versus the prior year. In MSA's inventory situation, the hearing health market is behind us, as forecasted, and we are increasingly confident of second half revenue growth. In Precision Devices, continued weakness in the industrial market, coupled with delays in defense orders have impacted revenue expectations for the remainder of 2023. We -- we believe, however, the secular trends in defense, MedTech and EV market for main robust. Lastly, for CMM, we are seeing a slow recovery in consumer electronics, primarily due to the smartphone market and softer demand in China. In summary, we are now expecting total company revenues in the second half of the year to be near prior year levels. And with the cost efficiencies and actions we've implemented, along with favorable mix we expect our second half adjusted EBIT margins to be greater than 19%. Now let me turn the call over to John to detail our quarterly results and guidance.
John Anderson: Thanks, Jeff. We reported second quarter revenues of $173 million, down 8% from the year-ago period, driven primarily by lower shipment volumes in Precision Devices and Consumer MEMS Mics. The Precision Device segment delivered revenues of $48 million, down 20% from the prior year, driven by continued weak demand associated with the excess channel inventory in the industrial and distribution markets and timing of shipments into the defense market. In the Medtech and Specialty Audio segment, revenue was $61 million, down 2% versus the prior year as we faced tough year-over-year comparables as the first half of 2022 demand benefited from strong COVID recovery. Consumer MEMS Mics revenue of $65 million was down 3% versus the prior year driven by weak global demand for smartphones, partially offset by growth in nonmobile applications. Second quarter gross margins were 42% and 100 basis points above the high end of our guidance range and up 50 basis points from the same period a year ago. Precision Devices segment gross margins were 39.7% and down 700 basis points from the prior year due to unfavorable capacity utilization. Medtech and Specialty Audio segment gross margins were 53.5%, up 410 basis points versus the prior year driven by productivity gains, lower factory costs and foreign currency benefits. Consumer MEMS Microphones delivered gross margins of 33.6%, up 340 basis points versus the prior year driven by benefits of the restructuring actions announced in August 2022, improved product mix and a gain on the sale of assets, partially offset by pricing pressure in the mobile market. R&D expense in the quarter was $16 million, down $2 million from the prior year with the reduction driven by the benefits of the restructuring actions taken in the Consumer MEMS Microphone segment. SG&A expenses were $30 million, $6 million higher than prior year levels, driven primarily by higher incentive compensation cost and higher professional and legal fees, partially offset by restructuring actions in the Consumer MEMS Microphone segment. For the quarter, adjusted EBIT margin was 16% at the high end of the guidance range. EPS was $0.23 in the quarter, slightly above the midpoint of our guidance range. Now I'll turn to our balance sheet and cash flow. Cash and cash equivalents totaled $54 million at the end of the quarter. We generated cash from operations of $1 million above the midpoint of our guidance range, driven by timing of customer collections. Capital spending was $4 million in the quarter, and we repurchased approximately 300,000 shares at a total cost of $5 million. We ended the quarter with cash net of outstanding bank borrowings of $9 million. Before moving to guidance for the third quarter, I want to comment briefly on some of the specific cost reduction actions we're taking within the Precision Device segment, to mitigate the impacts of our reduced revenue outlook. In Q3, we expect to incur a charge of roughly $2 million, which is expected to result in annualized cost savings of more than $5 million. These actions will be in place by the end of this year, and when implementation is complete, we expect PD operating margins to return near 2022 levels. This will also put total company operating expenses at the low end of our previous range of $43 million to $45 million per quarter. Moving to guidance for the third quarter. We expect total company revenue to be between $170 million and $180 million, down 2% versus the same period a year ago. We estimate gross margins for the third quarter to be approximately 41.5% to 43.5%, up 400 basis points from the year ago period. R&D expense is expected to be between $15 million and $17 million, down slightly from prior year levels, driven by restructuring actions in the Consumer MEMS like segment. We're projecting selling and administrative expense to be between $24 million and $26 million, down $1 million from the year ago period, primarily driven by restructuring actions in the Consumer MEMS and Precision Device segments. We're projecting adjusted EBIT margin for the quarter to be in the range of 18% to 20% and expect EPS to be within a range of $0.26 to $0.30 per share. This assumes weighted average shares outstanding during the quarter of $94.8 million on a fully diluted basis. We're forecasting an effective tax rate of 18% to 19% for the quarter and we expect cash from operations to range from $20 million to $30 million. Capital spending is expected to be $7 million. I'll now turn the call back over to the operator for the question-and-answer portion of the call. Operator?
Operator: [Operator Instructions] And our first question comes from the line of Christopher Rolland with Susquehanna. Your line is open.
Christopher Rolland: Hey guys. Thanks so much for the question here. Just talking about maybe your largest customer, what we can kind of expect for the back half. I know you've been deemphasizing them over time. It seems like strength came from other areas of the market as well. But how does this affect seasonality? And in particular, for your whole company, you were expecting to have really a strong seasonal December like 20-plus% sequentially, I think, was where the Street was. Does this come into play here at all or is it still just PD related that might dampen that? Thank you.
Jeffrey Niew: Yes. So, I would sit there and say, generally speaking, without going to the customer specifics, I think we're pretty close to where we thought the CMM business would be in the back half. It's not altogether. It's slightly down, but driven primarily by smartphone in China. So, I think here, I’ve seen compute, continue to look relatively strong for us. But our phone is definitely coming in weaker. And I would say even more specific, China is coming in weaker. So, our overall expectations for CMM it's probably slightly less than we would have said three months ago. I think the primary driver of what we kind of talked about here would probably be more on the PD side versus the prior expectations.
Christopher Rolland: Yes. And then on the PD side of things as well, I get the pushouts, defence-related and other. It sounds like maybe there's some inventory as well. Maybe go through where you think there is some inventory build, where you think it is in terms of weeks or however you want to define it? And when you think that inventory is finally going to work through here? And what kind of caught you guys by surprise on the inventory side as well? Thanks.
Jeffrey Niew: Well, I think in the original projections for PD, we're kind of starting to see a recovery in the industrial such distribution portion of the business in the back half. And right now, we're not seeing that recovery at all quite frankly. So I think that's going to be delayed into 2024 the recovery industrial and distribution. To make a few more comments, medtech was stable in the first half. I call it. We do expect a return to growth in the back half for Medtech with PD. And then I'll just make a comment on defense. There's been a number of larger programs that have been delayed, which we haven't changed our position, but it's been delayed. And the one I can kind of call out, Chris, is more specific. Lockheed just announced about a week ago or a little over a week ago that they were going to deliver 150 joint strike fighters this year. That was the original projection. And now they're projecting to deliver only 110 due to a number of issues on their side. So that's the kind of delays we're talking about here in defense. There's a couple of other larger programs like that. Our position in defense really hasn't changed and the long-term prognosis for defense, it still looks very good, but some of these orders are delayed. We expected to get some of these orders in Q2, they didn't materialize. And they're probably going to materialize in the back half, but it really draws on the question whether we could deliver them within the calendar year 2023..
Jeffrey Niew: Great. Thanks so much, Jeff.
Operator: And the next question comes from the line of Bob Labick with CJS Securities. Your line is open. 
Unidentified Analyst: Hi. It's [indiscernible] for Bob tonight. How are you?
Jeffrey Niew: Okay.
Unidentified Analyst: So just to start with -- just to clarify your guidance, I think I heard you say in the back half in total, you expect flat revenues and EBITDA margins north of 19%. Is that correct?
Jeffrey Niew: That is correct.
Unidentified Analyst: Okay. So I guess that would also imply around flat revenue for Q4. And I guess the question -- or the first question is how much of that is conservatism without visibility versus you have visibility to what looks to be flat revenue consolidated?
Jeffrey Niew: Well, I would sit there and say is, let me go through it by business unit. I think we're very comfortable with the projections within the MSA, the medtech specialty audio -- when you do it is -- they do have growth year-over-year in the back half. Kind of talked about in the consumer microphone business, I would say that is flattish year-over-year. And so maybe slightly up -- and then the Precision Device business obviously is down. Now within the Precision Device area, I would just sit there and say, on the defense side, I think we are going to get these orders. I can't predict the exact month we're going to get it. And so there could be a little bit of conservatism in the fact that the orders come sooner rather than later, we'll be able to deliver it within calendar year 2023 and -- but right now, I would -- I can't count on that yet because I don't have the orders in hand yet, and we're already in August. The second piece is this industrial and distribution portion and quite frankly, we're not seeing a lot of recovery in this market. Could it change? Yes. But right now, we're kind of saying don't expect the kind of trajectory in that market to ship until sometime in 2024.
Unidentified Analyst: Got it. And then I guess, along the lines of your balance sheet keeps getting stronger. You've talked about allocating 50% of your free cash flow towards share repurchase. Can you give us any update there? And then with regard to acquisitions, has anything changed related to either size or areas of focus versus the last couple of years?
Jeffrey Niew: Well, I think first, we cover the acquisition portion first. I think we look at the acquisitions we've done in the past in 2017, the largest one was about $80 million. And I think with our balance sheet, there is the opportunity to probably look at some things that are larger than that on a purchase price basis with the discipline around that we don't want to overpay for something. And we kind of talked a lot about this that in previous years, the multiples were kind of like high. And so we're going to be very disciplined about what we do in terms of acquisitions, but they could be larger. And again, I'm optimistic that we're looking at a lot of different things. And we'll see how this all plays out over the next six months to a year. As far as the stock buyback, I think we've committed not 50%, but more than 50% of our free cash flow to go towards share repurchase. I think year-to-date, for the full year, we've actually spent more than 50% of the cash flow year-to-date through Q2 on share repurchases. And we'll continue to buy back shares in line with what we've talked about in the past.
Unidentified Analyst: Great. And then just one more for me and I'll hop back in queue. Any update on the OTC hearing aid market? Are you seeing any new entrants, more demand? Anything along those lines?
Jeffrey Niew: Yes, the short answer is we continue to see that it's actually doing better than we originally expected so far. But we're not seeing a lot of sell-through data I would sit there and say; our traditional hearing aid market is doing better than expected than we would have said six months ago. So, I would say two things. One, I think it's a little too early until we see sell-through data on the over-the-counter market to say that this is sustainable. And again, it's not a super meaningful number in the first half of the year, but it is better than expected. In the meantime, maybe what we could be seeing here is that the over-the-counter market is actually getting people interested in looking at hearing aids and that they're opting for the traditional hearing aid market when they see that there's only a marginal difference in price and you get full service with a traditional hearing aid because the attritional hearing market is doing quite well right now.
Unidentified Analyst: Great. Appreciate it.
Operator: [Operator Instructions] And our next question comes from the line of Anthony Stoss with Craig-Hallum. Your line is open.
Anthony Stoss: Hey guys. Nice gross margins in a tough environment. Jeff, I wanted to follow-up on Q4. So, Q4 is roughly flat with a year ago, Q4 and up 12%. Are you expecting China smartphones, et cetera, to bounce back in the December quarter, or what do you really need to come through to hit kind of an up 12% sequentially for December?
Jeffrey Niew: Yes, I mean we do have some sequential improvement from Q2 to Q3 and Q3 to Q4. But I mean if I go back to the numbers prior to 2022, I mean, we're nowhere near the numbers we were shipping per quarter at the end of 2021. And so -- I mean I would sit there and say, again, our expectations have come down, reasonable amounts since last quarter for China. And it seems like this is doable. I mean, looking at China, essentially for the full year being flat flattish with 22%. I mean that's what we're talking about, which 2022 is not a great year for China.
John Anderson: And the sequential improvement, Tony, from Q3 to Q4, is very modest that we have built in here
Anthony Stoss: Got it. And then if you back up the delays in defense on the PD side, I mean, how much of it can you tell is just business in general slowing down -- or is it closer to what you guys expected if you didn't see those delays on the defense side?
Jeffrey Niew : I would say, of the shortfall compared to what we had thought a quarter ago, I would say, probably about 30% to 35% of it is defense and the rest is the industrial distribution, where we were expecting, if I look back at a quarter ago, we were expecting for industrial distribution to kind of start coming back in a stronger way. I mean not quite back to 2022 levels, but starting to come back. And we're just not seeing that. We're just not seeing a rebound at this point. So say 60% industrial distribution not improving and about 35%, 40% of its delays in defense.
Anthony Stoss: Got it. And the last question for me. You called out compute or PC being stronger. It's definitely nice to see. I'm just curious if you looked at that business as a whole? Do you think PCs are going to still be down year-over-year, 2023 versus 2022 for you guys?
Jeffrey Niew: I would sit there and say right now, our PC market is going to be flattish year-over-year. But definitely growth in the back half compared to what it was last year. So the first half was really low, especially in Q1 in the notebook tablet market, we had a really weak Q1, and we're expecting, based on orders and demand in Q3 some nice growth year-over-year. So -- but overall, for the full year, it could be roughly flattish our compute market. I guess what I'd say, Tony, in a lot of these markets here IoT compute we're seeing a lot of it being, I would say, flattish year-over-year, right, in terms of year IoT compute but definitely weaker in the first half and stronger in the back half. The one exception is smartphone. We're just not seeing a recovery in that market.
Anthony Stoss: That's definitely better than your peers, my compliments on how you guys are performing on the compute side for sure. And then I guess, let me throw one to John, on the OpEx, 43% to 45%, is that a good number to use kind of on a go-forward basis, or are there still more levers that you think you might pull and drop it even further?
John Anderson: Yes. Tony, I think I would go towards the low end of that number from a run rate. We did have in this quarter higher than normal OpEx. We had with some professional fee spending that we pulled forward in the back half of the year into Q2. But you can see in my guide, OpEx go back down to I think it's $41 million is the midpoint of the guide for Q3. So I would keep it in that kind of $41 million, $43 million for the remainder of 2023.
Jeffrey Niew: Yes. I mean, just to say, Tony, we've taken a number of actions based on we were -- at the beginning of the year, we were expecting some very nice growth from PD, which is not materializing. And so we've taken action on the cost side to make sure that we can maintain profitability. You kind of see even with a shortfall in revenue, we're pretty close on the profitability and the operating margins are holding up.
John Anderson: Yeah, I would say both gross margins and operating margins are holding up fairly well given the challenges on the top line.
Anthony Stoss: Yes, exactly. All right. Thanks, guys. Appreciate it.
Operator: And there are no further questions at this time. This concludes today's conference call, and you may now disconnect.